Operator: Good morning ladies and gentlemen. Welcome to the CGI fourth quarter and 2010 results conference call. I would now like to turn the meeting over to Mr. Lorne Gorber, Senior Vice President, Global Communications and Investor Relations. Please go ahead Mr. Gorber.
Lorne Gorber: Thank you and good morning everyone. With me to discuss CGI’s fourth quarter and fiscal 2010 results are Michael Roach, our President and CEO as well as David Anderson, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 am on Tuesday November 9, 2010. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our fiscal 2010 MD&A, audited financial statements and accompanying notes, all of which are being filed with both SEDAR and Edgar. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete safe harbor statement is available in both our MD&A and press release as well as on cgi.com. We encourage our investors to read it and its entirety. We report our financial results in accordance with Canadian GAAP, but we do discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each of these non-GAAP performance indicators used in our reporting. All of the figures expressed in this call are from continuing operations and in Canadian dollars unless otherwise noted. I’ll turn the call over to David first to review the results for the fourth quarter and then he’ll pass it over to Mike who will discuss strategic highlights of both the quarter and the full year, given that we will be discussing both our scripted comments will be briefed in order to maximize the time we have for Q&A. David?
David Anderson: Thank you, Lorne and good morning. In the fourth quarter, our revenue reached $1.01 billion representing an increase of 8.7% or $81 million from Q4 2009. Foreign exchange fluctuations negatively impacted revenue by $46.8 million or 5.1% compared with the same period last year. When adjusted FX, year-over-year growth, on a constant currency basis was 13.8%, included our (inaudible) results from August 17th today the transaction officially closed. Our EBIT margin strengthened to 13.9% from 13.6% in the fourth quarter of 2009. This improvement was largely driven by our ongoing focus on operational excellence, including investments in tools and productivity initiatives. Net earnings in Q4 2010 were $84.1 million or 1.7% better than the $82.6 million reported in Q4 of 2009. Our earnings margin was 8.3%, representing an improvement of 60 basis points over Q4 of 2009. Diluted earnings per share were $0.30. This compares with $0.27 in the same period last year or an increase of 11.1%. These results include one-time expenses of $16.7 related to the Stanley acquisition. Before these expenses, net earnings would have been $94.5 million and diluted earnings per share would have been $0.34 per share representing a year-over-year improvement of 14.4% and 25.9% respectively. The earnings margin would have been 9.4%. We generated $158.5 million in cash from operations in the fourth quarter or 15.1% of revenue. Our DSO at the end of Q4 was 47 days. The year-over-year increase is attributable to the mid quarter closing of our Stanley transactions as we inherited all of their receivable work in progress, but only six weeks of revenue. Excluding this transaction related anomaly, we are and expect to continue operating within our target level of 45 days. Our long-term debt at the beginning of Q4 stood at $417.9 million. We drew down $800 million to pay for Stanley and repaid $193.2 million during the quarter leaving debt at September 30, 2010 of $1.15 billion. This represented a net debt to capitalization ratio of 30.6%. At today’s market rate such levels yield an optimal weighted average cost of capital for the company. In the quarter we continued buying back our stock acquiring 8.1 million shares of CGI for $123.4 million. At year end, our return on equity was 16.4% while the return on invested capital was 16.3%. Now I’ll turn over the call to Mike.
Michael Roach: Thank you David and good morning everyone. I am very pleased with our performance in Q4 and for all of fiscal 2010. The ongoing ability of our team to focus and execute with discipline in challenging market conditions has solidified our leadership position amongst our North American and European peers. I’ll begin my remarks with a review of our fiscal 2010 performance by stakeholder. Let’s start with clients. Feedback from our clients continues to be very encouraging and reinforces our fundamental belief that quality work equals more work. Against this standard we continue delivering our projects on time and on budget. Throughout the year we solicited and received direct feedback from approximately 2500 signed client assessments. On a 10-point scale, we scored 9.0 on overall satisfaction in fiscal 2010, but even more importantly we received a 9.2 on loyalty, suggesting clients will continue using CGI services and even recommend CGI to others. Client loyalty is important in any business but in our business it is essential. Our employee or member satisfaction levels remain high, while attrition rates are amongst the lowest in our industry. In addition, ownership levels amongst our member base reached 87% representing the single largest block of share ownership. Member satisfaction and ownership continue to be a key competitive differentiator for our company, and is one of the reasons why CGI continues to be a consistent top performer. Now to our shareholders. Fiscal ‘10 revenue was $3.7 billion; when adjusted for FX year-over-year growth on constant currency basis was 3.4%. EBIT was up 11% and EBIT margin was strong at 13.7%. Earnings from continuing operations was up 15%. Earnings margin grew to 9.7% and EPS expanded by more than 21% on a fully diluted basis. We generated $552 million in cash from operations, or 15% of revenue. This represents $1.89 per share. We invested $517 million in acquiring CGI stock further demonstrating our ongoing commitment to create shareholder value. We reduced the total share count by nearly 10% during fiscal 2010, ending the year with approximately 270 million shares, down from a peak of more than 444 million shares in fiscal 2005. We booked $4.6 billion in new contract signings or 124% of revenue, adding new global marquee clients while renewing, extending and expanding our relationship with others. In the fourth quarter alone our bookings improved by 97% year-over-year. In summary, we entered fiscal 2011 in excellent positions strategically, operationally and financially. I would like now to reinforce a couple of points on the fourth quarter, which once again was strong and balanced across all performance indicators. First, I want to draw your attention to the strength of our profitability year-over-year. When you remove the impact of the one-time expenses related to the Stanley transaction, our earnings were $94.6 million, up 14.4%. Our earnings margin was 9.4% and our diluted earnings per share was $0.34, up 26% compared with last year. Second, a brief update on Stanley integration. Stanley is integrated in the CGI’s organizational structure and we’re now better positioned to win business in this large $100 billion US Government market. CGI Federal is now able to service all US Government agencies, including all branches of the military. Without any interruption, we’ve continued to sign extensions and new contracts across civilian, defense and intelligence agencies as demonstrated by recent wins with the US Marine Corps, the State Department and the Nuclear Regulatory Commission. Our strength in technology in government was further recognized by being one of only 11 companies chosen to provide Cloud computing services to the US Federal Government. Off these, only a handful were pure-play IT service providers. In addition, just last week, CGI Federal was named Greater Washington US Government Contractor of the Year in the category of companies generating more than $300 million in annual revenue. One of the reasons cited for the winning included operational and financial accomplishments, client satisfaction and overall excellence in Federal agency support. A joint dedicated and integration team has been busy addressing client and member requirements, successfully realizing the necessary business synergies. We have realized more than 85% of the targeted savings related to bottom line synergies of more than $23 million on an annual basis. Accordingly, we’re confident that over the next 12 to 24 months, the business combination will yield an EPS accretion rate of 15% to 20%. Looking ahead to fiscal 2011, including our current line of credit, we continue to have ample liquidity more than $650 million to continue prioritizing the deployment of our cash with a commitment to making the most accretive investments for our shareholders. These investments include profitable organic growth, additional accretive acquisition, share repurchase and/or debt repayment. Given the attractive evaluation of CGI shares in the low cost of capital, we continue to invest aggressively in our share buyback. Under the current program, we have now bought back 18.2 million shares or 72% of our total authorized allotment. We continue to have the financial flexibility to repurchase the remaining 7 million shares before February 2011. In addition to this use of cash, we also have $87 million US in senior unsecured notes, which will be retired as they come due in January 2011. With respect to the market, we continue to see significant opportunities to deliver profitable organic growth and have identified five corporate-wide priorities to focus on in fiscal 2011. First, we’ll reinforce our full offering profitable growth strategy with an emphasis on increasing full end-to-end outsourcing and recurring revenue streams. We will also continue to accelerate growth and expand margins through increasing our focus and sales of our IP base solutions. We’ll continue to invest in new growth areas such as Cloud computing and our defense intel business. To win more, we’ll bid more, by leveraging our global delivery network more extensively. And finally, we’ll focus on strengthening our CGI partner network and go-to-market alliances in order to track new sources of profitable revenue. In order to shape and increase our capture rate, we’ve also made some recent leadership adjustments to our operations. In addition to Donna Morea who continues to have operational responsibility for the US, Europe, and Asia, Doug McCuaig has recently been appointed President of our Canadian Operations. Doug is based in Toronto, Canada’s largest market for our services. In addition, Eva Maglis has been appointed to lead and consolidate our global infrastructure services and solution practice across the globe. Both Doug and Eva are experienced and proven CGI leaders. Finally, we’ve been operating under the same basic fundamental beliefs and quality focus model for almost 35 years. I want to reiterate that we continue to believe that our consistent ability to execute to this model delivers superior returns to shareholders overtime, including throughout the most challenging of market conditions. Our stock price has increased by more than 25% adding approximately $0.5 billion to our market cap during the last 12 months. We remain committed to the full realization of our strategic goals and are confident in our team’s ability to execute against our business plan in fiscal 2011 and beyond. I want to take the opportunity to thank you for your continued interest and confidence in CGI. And Lorne, let’s go to the questions.
Lorne Gorber: Thanks Mike. Just a reminder that a replay of the call will be available either via our website or by dialing 1800-408-3053 and using the pass code 4070144 until November 23rd, as well as podcast of this call will be available for download at either cgi.com or via iTunes within a few short hours. Follow-up questions can be directed to me at 514-841-3355. Colleen, if we could poll for questions from the investment community, please.
Operator: Thank you. We’ll now take questions from the telephone lines. (Operator Instructions). Our first question is from Tom Liston of Versant Partners. Please go ahead.
Tom Liston: Hi, thank you, good morning. Just on with the Stanley acquisition, in the presentation or the press release that is it’s at $16.7 million in the financials, I think it goes more like $20.9 million. Can you talk about the discrepancy there? And if they’re 85% complete is there another small charge to come in the future quarter here?
Michael Roach: Okay, thank you, Tom. The good news is there is no discrepancy. The $16.7 million was the charge taken in the quarter. The $20.9 million was the total charges for fiscal 2010. As far as the charges that lie ahead of us, as I mentioned, over 80% of the costs are behind us, and we anticipate about $5.4 million additional charges over the balance of the year. And, they’re primarily, Tom, related to real estate and some technology integration that actually takes more time to execute than the initial piece that we’ve already completed.
Tom Liston: Sure. And obviously there was a little bit of severance in the flipside. How many of the key executives from Stanley have you been able to retain? And can you comment just on the people you were able to retain?
Michael Roach: Yes. We have retained the leadership team that we had targeted as part of the integration plan. As I mentioned on calls before, the CEO, the CFO, and most of the corporate services leaders obviously were not targeted as folks that we had expected to keep. But on the line operating side, we have kept the leaders that we have targeted and take the opportunities and say that they’re excellent leaders and doing a great job for us as demonstrated by the continuing winds that we’ve seen since the announcement of the deal.
Tom Liston: And, just finally as we move to the revenue side, there is obviously potential for synergy there, scale is important, but perhaps more importantly scope. Can you comment on any existing projects in the pipeline that you may have not able – been able to go after previously or at least had it chunked up?
Michael Roach: Well, again, there are some synergies obviously on the client-by-client basis in terms of where we’ve been working on the civilian side, and there’s also opportunities now given the added expertise and relationships that have been secured through Stanley. Areas like health, is one area, the State Department would be another area, so there are a number of areas like that. You will see and will in fact, I think what we’ll do Tom in some of those is actually identify where they were a joint initiative so that you will have more visibility where some of that comes from. I will take the opportunity though to remind investors that in our accretion calculations we do not – didn’t include any top line synergies here. Our accretion rate is driven by our cost reduction and business combination synergies. Tom Liston – Versant Partners Very good. Thanks, I’ll pass the line.
Michael Roach: Thank you. Thanks Tom.
Operator: Thank you. Our next question is from Richard Tse of Cormark Securities. Please go ahead
Richard Tse: Hi Mike, congratulations here on the quarter.
Michael Roach: Thank you.
Richard Tse: Listen, a couple questions here. First, with respect to Stanley, you’ve had it for a few months now. Do you incur to see any upside to margins here, now you’ve been operating for a bit now over and above your initial expectations?
Michael Roach: Well again, I would say that if you look at the synergies Richard, these synergies are obviously driving improved margins there, but we’re still in the early days in terms of moving the needle on other areas. As we say we’ve been able to identify and target with the help of the Stanley leadership areas where there has been some bottom line synergies. But things like evolving what we bid on and looking at the top line synergies and capturing those that takes – that’s going to take a little longer. But, no, I haven’t seen anything there that would concern me in terms of our ability to continue to improve the total operation, both top line and bottom line, and this is one of the reasons why I’ve released what we see as an accretion rate over the next 12 to 24 months, because our confidence level and our visibility into the levers that we need to execute is very good there. So we’re confident that we can deliver that accretion rate and have a plan in place to make that happen.
Richard Tse: Okay. And it’s earlier I know you still have some charges there. I know it’s not a big piece of the company, but what are your expectations for that Group going forward here?
Michael Roach: I’m sorry Richard, there’s a noise – I didn’t get the first part of that question.
Richard Tse: Yes, can you hear now?
Michael Roach: Europe. Okay, sorry, Lorne just wrote it down, Europe okay. So yes, in Europe I think – as I had said before that we would actually have bottomed in Europe. I had said last time that the UK, German operations were strengthening, we’ve seen a continuation of that strengthening, we were profitable in the quarter and would expect to be profitable throughout fiscal 2011 market conditions remaining the same or improving over that period of time.
Richard Tse: Okay. And one final question I have to ask this, it’s a bit of a curve ball. But what was the US growth ex-Stanley?
Michael Roach: I’m not going to start down the path of separating growth between the two. Years ago we used to do that and frankly it’s very difficult to run an operation that way; they’re integrated. We had about six weeks of Stanley in the quarter and so I can tell you that the operations did grow in the US throughout fiscal 2010 and in the fourth quarter.
Richard Tse: Okay great, thanks a lot Mike.
Michael Roach: Thanks Richard.
Operator: Thank you. Our next question is from Mayer Yaghi of Desjardins Securities. Please go ahead.
Mayer Yaghi: Yes, thank you for taking my question. I just have a clarification on your earlier comment about the accretion from the Stanley acquisition. Can you maybe breakdown that 15% to 20% in terms of how much is it coming from actual cost cutting and how much is it coming from just business combination in terms of using the cash to acquire EBITDA?
Michael Roach: Well again, what I was clarifying was that in our calculation of the accretion rate we were not taking revenue growth into consideration that the accretion was being driven by synergies relating to the business combination.
Mayer Yaghi: Great. Is there any actual cost – lowering of the cost structure on the Stanley side implied in that estimate? Not revenue just cost.
Michael Roach: Absolutely. It’s all in the Stanley side.
Mayer Yaghi: Apart from – I mean can you maybe just break down how much cost you think you’re going to take out of the Stanley side to get to that 15% to 20%.
Michael Roach: Well, what I said was on – so far in fiscal 2010 – while in fiscal 2010 that we had taken a charge of $20.9 million and that we had $5.4 million left to take in fiscal 2011.
Mayer Yaghi: And that would be – I mean you think that would translate into cost savings over the next 12 months to 24 months equivalent to how much restructuring it took.
Michael Roach: Well again, I’m not quite sure I understand what your –
Mayer Yaghi: I’m trying just to understand how much of the restructuring charges that you took will actually lead to lower cost on the Stanley side and how much of it is a one-time event in terms of severance costs and things like that.
Michael Roach: Well, you’re talking two different things here. What I’ve shared with you is the costs that we’ve implemented to realize the synergies. On the synergies, I have said that we’ve booked – we’ve realized $23 million of synergies so far, which represent 85% of the synergies that we’re targeting.
Mayer Yaghi: Okay.
Michael Roach: Okay.
Mayer Yaghi: All right. And just a question on general market dynamics. On the Canadian side we saw your revenue coming down. Can you maybe talk about how long you think that lower plateau will continue? And on the US side, we’re starting to see nice growth there? Can you maybe talk about where you’re seeing the increased revenue growth coming from your verticals?
Michael Roach: Well again, very briefly, I don’t consider a one quarter in Canada being a trend or a plateau. I think we continue to see some great opportunities in Canada. We’ve had a number of wins there across various verticals. I think there is more activity also being driven by software and packages. We’re seeing a number of our clients who are starting now to invest again in improving their operations and we’ve had a number of announcements along that area. Healthcare, I think straddles both Canada and the US. We’re seeing continued activity and growth opportunity in there. I still love the government vertical despite all the press and talk around government; government is a great place to be. I’m very pleased with what our teams have put up in terms of growth and bookings in the government sector. So when I look at it, I do feel that things are starting to pick up in the market as we start to cross over now into our customer’s fiscal 2011. Budgets are being finalized and the sense we’re getting is that there will be more investment in information technology in calendar 2011. And we intend, as I mentioned, through our five priorities to capture a good share of that.
Mayer Yaghi: Okay, thank you.
Michael Roach: Thank you.
Operator: Thank you. Our next question is from Scott Penner of TD Newcrest. Please go ahead.
Scott Penner: Thanks. Just David to clarify one thing, in note 18, it actually indicates that Stanley’s revenue about 3% of the revenue of the company for the year, so that implies about a $110 million or so for that period, is that right?
David Anderson: Well it’s approximately in that range.
Scott Penner: Okay, no, that’s fine. Then just on the – Mike you had mentioned that beyond the seasonally soft September quarter that you could see some project momentum and start to build into the last part of the year, is that still your view right now?
Michael Roach: That’s still our expectation. As we say, we’ll get a better sense of how much folks are going to try and pull us off here Scott as between now and the startup of their new fiscal year. But the pipelines have grown over the summer both the outsourcing and the systems integration pipeline. So our sense is that’ll move through the pipeline. We’ll start to see some of that this quarter and into calendar 2011.
Scott Penner: And on the state and local size specific in the US, it looks like the thermal business is just doing well, but if you could just comment on the bookings dynamics within the state and local side.
Michael Roach: I think in the state and local side, we’re targeting a number of very large opportunities Scott, so they’re taking a little more time to get over the line. Some of them are actually benefits funded type initiatives. But I like the pipeline there. I think there are a number of transformational deals that we could pick up there that could really move the needle for us on the state and local side. But they are more strategic larger deals; it takes a little more time to get them through the various approval processes.
Scott Penner: And David, the tax rate going forward, is it still 31% to 33% or is it coming down?
David Anderson: Around 30.5% to 32.5%.
Scott Penner: Okay.
David Anderson: But it was pretty close to what we’ve had a long-term rate.
Scott Penner: And then lastly the net debt to cap, I believe this is maybe the first time you’ve commented on this being a particularly optimal capital structure for you. Does this imply that this is a net debt ratio that you otherwise like to maintain going forward?
David Anderson: When we take a look at the curve, we are in the sweet spot of it. So there is no real hurry to move off it.
Scott Penner: Okay, that’s fine. Thank you.
Michael Roach: Thanks Scott.
Operator: Thank you. Our next question is from Paul Steep of Scotia Capital. Please go ahead.
Paul Steep: Good morning guys. Mike, maybe just on I guess priority three and four, as I wrote them down here actually two, three and four. Two and three were the IT solutions in the cloud computing defense initiatives. Should we think about in 2011 maybe a little bit higher CapEx, I got to assume this may or may not result potentially in maybe a new of center of excellence something in and around Virginia or the Beltway [ph] or do you think you have enough sort of capacity out in Troy or Lebanon as it is?
Michael Roach: Well I think couple of things. First off, I think when it comes to centers of excellence, the capital cost withstanding those up are not very significant. So I don’t expect to see any need for additional capital from past levels that would trigger that. I guess, what I was really talking about here is that if we do open, we obviously have an investment committee and I look at things like cloud computing and I use defense Intel as an example. We’d like to do more business for example encountered in that space. So there will be some cost to stand up that division. But again on the size of our company, I really don’t see that as being material over 12 month period. What I was trying to trigger there was really to share with investors that if we look at our IP-based solutions, they do carry a higher margin than the rest of our business and if we’re able to increase the growth in those businesses, we’ll not only get top line growth but we’ll get a disproportional increase in bottom line growth because they do carry higher margins. And so it’s an area we’ve been working on for some time but it’s an added emphasis going into 2011 and as I mentioned we do see more interest now in companies and governments investing in IP-based solutions and in our case of course we wrap that with the many services offering that also increases our backlog, recurring revenue and really makes us much more defensive, if you will going forward in terms of building a higher floor in terms of recurring revenue and therefore putting us in a better position against any kind of economic swing here . So just emphasizing those areas, Paul as things we want to reemphasize and refocus on in fiscal 2011.
Paul Steep: So and that’s actually, I guess where I was heading with the original question worded, but that sort of new wording from you, it’s something you’d flagged in the past, but are you going to get a little more aggressive in this area or do you need to do anything to accelerate it in 2011 not materially financially but it seems like a good opportunity especially when you saw the benefit, you saw through AMS, when you (inaudible).
Michael Roach: Exactly. Yes, I think what I – what’s behind that is obviously that I’ve made them corporate wide, we’re doing some reorganization in terms of aligning leadership and establishing harder goals and visibility around these five areas and out of that we’ll come proposals for investments, but I kind of do those as the business cases come forward, beyond what I’ve already built into budget. But again those business cases are scrutinized in terms of ensuring that there is a significant return to investors case by case and so beyond that that’s kind of how we’ve positioned those initiatives for 2011.
Paul Steep: Fair enough. One last one just for David, in the MD&A you walked through the IFRS impacts, I think I got all the wood [ph]. It didn’t flag any as being particularly material. Is there anything else that all of us sort of watch it for think about when the transition happens here.
David Anderson: At this particular stage we don’t see anything is being problematic or being that significant. In fact, we shared with the board yesterday just in overview schedule that showed kind of the ups and downs of the various types of adjustments that would be paid in the walk away from that was there wasn’t really interested to be alarmed about or to really take any special note of. There are something operated whether being provisions, whether be in the rules around impairment, around revenue recognition, there are some activities that have to be tweaked or some small changes have to be made, but nothing too significant is going to have an impact on the actual numbers as far, at least that’s the way we see it today.
Michael Roach: Paul I think as well, I think to David’s credit and to the team here, we’ve as you know Paul have been very transparent in all our reporting. So when you look at some of those requirements in terms of transparency of reporting, our internal assessment is that we’re far along that curve along so that the additional disclosures and transparency or not significant for CGI.
Paul Steep: Okay, thanks guys.
Michael Roach: Okay, thanks Paul.
Operator: Thank you. Our next question is from Ralph Garcea, with Northland Capital. Please go ahead.
Ralph Garcea: Good morning gentlemen.
Michael Roach: Good morning Ralph.
Ralph Garcea: I guess we’ll start if off with Stanley, we’ve only had six weeks in the quarter but going into Q4, would you say having your size and scale behind them has helped them as some other renewals and bids that they’ve won through the last two or three months?
David Anderson: Well I would probably have to be realistic to say that the past number of months is very early stages, I’ll tell you what I think Ralph has helped a lot, I drew attention to it just briefly, our CGI federal team has been recognized as the US contractor of the year there to the federal government which is a very prestigious recognition. I think it helps at a lot of levels. I think it helps obviously by increasing our brand and profile in the Beltway with US government. It clearly helps in terms of attracting and retaining talent to that group and ultimately I got to think it’s a net positive in terms of winning new business. I would tell you that the Stanley team have a lot of bids in for decision, and we’re seeing some of those come through over the last six weeks in fact, our book to bill in the US federal government in the fourth quarter was north of 135%. So it was very significant. Those are combination of wins that Stanley accomplished and also our existing CGI federal business. So I think clearly having larger company allows us obviously to bid more and also take on larger engagements as a prime as opposed to sub as just one example.
Ralph Garcea: And then the scope of their wins and renewals has increased. Is that a fair comment then?
David Anderson: Well again I only have six weeks to judge but again as I say the bookings were very robust in quarter four on both divisions.
Ralph Garcea: Okay, as we switch to the Canadian side, then I mean was the organic growth – the negative organic growth for the quarter function of seasonality or going forward, what do you see in the pipeline, I mean your customer we see has gotten bigger with their recent acquisition, their wireless business is growing. Do you see increased business out of them and what are you going to do drive organic growth in Canada?
David Anderson: Well again first stuff, as I mentioned, we’ve made some operational changes. We’ve pointed Doug McCuaig as the President. Doug is in Toronto, the biggest market in Canada for our services. We’ve won of number of deals in Canada to ramp up in terms of realizing the revenue from the booking is going a little slower than I would like. Some of them are linked just to the size of the client and the re-sourcing of the work and I expect to see that ramp up pick up over the next quarter or so. The pipeline is robust in Canada. We have a lot of large clients already as you know Ralph, you named one and we continue to gain share in large clients including the one you named. But it’s a smaller market obviously to the US so that the number of opportunities in comparison is obviously greater in the US. The second thing we’ve done is pulled together now under Eva Maglis, all our infrastructure business. And this is an area where we also see some additional opportunities not only in Canada, but in the other geographies that should drive growth there. But in Canada, again the financial vertical we see opportunities there, we see opportunities on the government side eventually and also federally, and the telecom business in Canada is also good for us. And we’re also as you’ve seen by some of the announcements, we’ve actually also won some stuff in MR&D, meanwhile our global delivery offering in Canada continues to grow. We’ve opened new center in Moncton, we’re staffing it up now. So I like the prospects that we have in Canada. Again, it’s going to take some time to actually take on the revenue from some of the winds that Doug and team have put up there.
Ralph Garcea: Yes, and then just lastly on the expansion in India, I guess you’re going to be adding 1,500 or so headcount, taking it into 5,000 I think over the next year or so. What’s driving that and what sort of operating leverage can you get from utilizing that as part of your global delivery network?
Michael Roach: Well, again, as we looked at one of the priorities that I had spoken about, our win ratios companywide are very high and it’s a good thing. But in order to drive more growth as I said, one of our priorities is to win more, we’ll bid more. And the second part of that is actually add additional fire power behind including and leveraging our global delivery network. Now that includes India, but also includes our centers in North America and in Europe. So our sense is that the growth there is going to come from increased winds, increased evolving requirements of our clients who are looking to bring on more work utilizing the global delivery, including India. Now we have been picking up good leverage in India. I mean, we’ve got our nice level of critical mass there with 1,500 or so additional hires. As you say, it will push us close to the 5,000 mark, and that brings with it additional synergies both at the operating level, but also on the sales and marketing level. We’ll also be looking to have more of our infrastructure in what we refer to as Tier 1 capabilities in India and that’s an area where we still have a lot of room to grow. So we got a good operation over there, very talent people. I was over, I guess in spring, and I like what I see there, turnover rates are still better than the Indian average, and 96% of our members in India are CGI shareholders. So we’ve got a very dynamic group there, it’s a great asset, Don and her team are doing an excellent team of growing that. And so we expect to see some additional leverage of our global delivery centers in fiscal 2011 including India.
Ralph Garcea: Okay, thank you.
Michael Roach: Thanks Ralph. Colleen.
Operator: Our next question is from Del Warmington from Delaware Capital. Please go ahead.
Del Warmington: Yes, quick question. What percent of your sales was from the government sector?
Michael Roach: What percent of our sales in the quarter was from the government sector?
Del Warmington: Yes.
Michael Roach: Just digging that out Del. Again, I think a high percentage of our bookings again came from the financial vertical as well as vertical. But from the government specifically in the quarter –
David Anderson: 37% for the quarter.
Michael Roach: 37%.
David Anderson: Sorry, that’s revenue.
Michael Roach: That’s revenue. You were looking for bookings or revenue.
Del Warmington: Revenue.
Michael Roach: Revenue, 37% came from government.
David Anderson: For the year.
Michael Roach: For the year. And in the quarter, I would suspect that’s a little higher than that.
David Anderson: Yes, I’ll circle back with you Del on –
Michael Roach: It’s probably close to 40% Del in terms of – clearly government as a result of the Stanley acquisition and in fact the growth that we’ve experienced there is now our single largest vertical. And I would say it’s about 40%, 42% – the guys are telling me 42%.
Del Warmington: Okay. And one last question, given the currency movement over the last six months, [inaudible] cost in your overall hedging strategy, please?
Michael Roach: The movement of the currency, Dave, is it impacting our hedging strategy or –?
David Anderson: Not at all. Not at all. We were protecting ourselves from this type of a movement. But, again, we’re not trying to protect the top line, we’re trying to protect the bottom line. So with some of the natural hedges that we have between the Canadian and the US dollar, plus with the activity between ourselves, Canada and India, and US and India, we do have hedges there. So we really try to minimize the short-term effect of any sudden fluctuations, so that the operations then have an opportunity to – and retool and do the things that are necessary to be able to deal with the change in the currency over the longer term.
Del Warmington: Okay, thanks a million.
Michael Roach: Thanks Del.
Operator: Thank you. Our next question is from Michael Urlacher of GMP Securities. Please go ahead.
Michael Urlacher: Good morning. My first question is just a rather broad one, Michael. If we look at the industry as a whole and CGI’s performance up until this quarter, it’s clear the US business for the whole industry has been kind of soft and declining because of primarily I assume the recession. So I wonder if you could just make an observation about whether it’s fair to say that the recession is lifting somewhat in terms of spending from your US customers.
Michael Roach: Thank you, Michael. Thank you for your question. Clearly, I think the US has really at a macro level has taken quite an economic body blow there. But again when I always tell my own people is if you strip away the macro picture and you take it down to customer-by-customer, you can start to see that the US is digging out of there. We are seeing clients who are investing more in technology. As you know, the productivity rate in the United States is quite high in comparison to other countries. And one of the reasons it’s higher is they do invest more in technology. So we are seeing that, we’re seeing companies continuing to be very diligent on the cost side, so they’re very price sensitive or value sensitive, probably is the better word. But there are clearly signs that they are as per past recessions investing in technology, and again we’re seeing that not only in the government vertical, but clearly in the financial vertical. And some of it’s taken the forms of a much more openness in terms of looking at new partners, new suppliers, and again that’s one of the ways we position ourselves in the US as an alternative for fresh face, a company who actually delivers on-time and on-budget. And then also we were one of the early companies frankly that have these centers of excellence that are in United States, and so we have the process and the reputation around that, we’re not a new comer to that. So I am seeing a gradual pickup up there and we’re looking forward to seeing some of that in our revenue numbers as the year goes on.
Michael Urlacher: Okay, thank you. That’s helpful. And then I wonder a second question, if we look at Stanley as an acquisition, again kind of on a broad picture basis, certainly a big part of their business has been on a cost plus basis. I’m sure there is a desire to look for opportunities for fixed price, where perhaps there might be a greater profitability available to the supplier.
Michael Roach: Right.
Michael Urlacher: But can you describe to me is that a very, very slow migration? I assume some of these contract undertakings can’t be changed quickly.
Michael Roach: No, I think it’s going to at the start of the policy level, and I guess I can talk generally, the US like other governments are very focused on cost reduction and then on controlling expenditures. And, of course, one of the ways get overall better control of expenditures is to move to a fixed price, because you have certainty in terms of the costs. The risk clearly shift to the supplier, but it’s acquired, it’s disciplined and focused on delivering its projects on-time and on-budget, the risk is obviously worth the potential returns. So I think as you see various governments working through these budget challenges on a global basis, you’ll see more movement to that level, and you’ll also see more opportunities on benefit funded initiatives, especially at the state and local sites.
Michael Urlacher: Thank you. Actually, I was curious about the benefit funded operations. Can you just describe to me, is this kind of a unique proposition procedure or is this something that’s taking on acceptance among a variety of the suppliers?
Michael Roach: Well, it’s again – I think there’s always been benefit funded initiatives but CGI really from our heritage and legacy with our acquisition with AMS has a lot of experience in government in terms of areas of revenue assurance, revenue collection, tax collection these areas that lend themselves frankly to benefit funded type initiatives and we’ve got a lot of experience in that area and again with tight budgets, this type of project becomes a lot more appealing to legislators across the United States and in other jurisdictions. So I think it takes on an added significance here and a ramp up in tough economic times and we’re certainly in such times especially at the state and local level.
Operator: Thank you. Our next question is from Dushan Batrovic of Dundee Securities, please go ahead.
Dushan Batrovic: Hi, thank you. Just to ask the US spending question a little bit differently, Mike, I think last quarter it sounded as if you were a little more incrementally negative just in your commentary, a little more uncertainty etc., at this point in time, has that view changed at all or are you incrementally more positive or negative or just about the same as you were last quarter there?
Michael Roach: No, I guess I’m glad you have the opportunity, I probably never had enough coffee before the session. Last time I was being more philosophical about the macro conditions of the US economy and I think what I wanted to do on this call was actually take it down a layer and as I say look at it on a more client by client basis. Look, the US is still the biggest market in the world for IT services. So when you see the kind of macro headlines, we’re really talking about at the edges of that market. By some calculations, the US I still 50% of the world’s IT service to spend. So it’s a very, very big market for us and again we’re largely an attacker in that market, so the opportunities for us down there are huge over time here. So, no, I would say that – I’ve always been optimistic on the US market. It’s one of the reasons why we continue to expand there and acquired Stanley and again we continue to look for accretive acquisitions in that market because we think it’s a great market. So, no, I would say last time I was more or less trying to answer the questions in terms of the macro conditions in the US and actually comparing them to Europe and what we had seen earlier in the fiscal year, but still a very good market. We’re well positioned there. As I say, the Stanley acquisition has helped us on a number of levels not only in the government side but it gives us much more scale and presence in the US. I think this quarter is the first quarter in the company history where the revenue coming from the United States is now greater than Canada. So that’s a milestone for us, and something that we’ll probably see more in the future now as we continue and expand our growth in the United States.
Dushan Batrovic: I would say that you’ve definitely been consistent on the long term opportunity in the US. So am I to interpret your commentary that basically you’re not really making or putting out a view as what you’re seeing on a quarter to quarter basis in the terms of deal activity pipeline close rates, etc.?
Michael Roach: Yes, I don’t really manage the company on a quarter-to-quarter basis. I mean my view is that – if you look at our business, it’s a very complex business. When you get into managed services and when you get into as much government business, we’re in, of course, the timing of how deals move through the funnel to closure are beyond our control; in the government area as an example, it’s quite common now for winds to actually be protested [ph] which ends up delaying the booking and the revenue stream. So again I’m not very good at predicting quarter-to-quarter. What I’m sharing with you is our strong continuing belief that the US market is the right market for us and a market where we will see a disproportional level of profitable growth for CGI in the quarters and years ahead.
Dushan Batrovic: Last question for me is on the Stanley synergies. You mentioned you’re not really assuming any top line synergies. Are you being conservative there or is there an opportunity to actually bring in some top line synergies in 2011 or is it more of a longer term story there?
Michael Roach: No, there’s definitely synergies there. I always wanted to clarify because I think for investors, the level of certainty around delivering an accretion rate is always better if they understand where the accretion rate is being driven from and hence, why I clarify that our accretion rate is really based on driving bottom line cost out and productivity gains as opposed to being driven by revenue, which does clearly take more time. We do see some opportunities in 2011 to put together the capabilities of the two operations and drive growth there but again that takes more time than what we can do in terms of the cost structure.
Dushan Batrovic: Okay, I’ll leave it there, thank you.
Michael Roach: Thank you.
Operator: Thank you. Our next question is from Michael Abramsky of RBC Capital Markets. Please go ahead.
Michael Abramsky: Yes, thanks very much, Mike.
Michael Roach: Hi Mike.
Michael Abramsky: Just on Stanley’s growth you were just talking a little bit before. Could you let us know what the constant currency US revenue growth was excluding Stanley for the quarter?
Michael Roach: No, we don’t release that and we won’t be releasing that go forward. We’re combining our operations and what you will see though, I guess is we will declare and treat the US government as a single client, so that you’ll see it’s over 10% of revenue, so that will be in the MD&A on an ongoing basis. And I think – was it in the MD&A for this quarter; it was 14% of the company’s revenue in the quarter.
Michael Abramsky: Okay. I mean, well, I guess maybe another way is you’ve been talking positively and I think well about the US opportunities. Do you think that – we’ve seen organic growth in the US in kind of zero to 5% range and you’ve talked about sort of not kind of providing an outlook in a sense for Stanley, you’re not providing the accretion for Stanley on the revenue side. Could Stanley be a lift to that organic growth rate in the next couple of quarters or could Stanley potentially offset that organic growth rate in the US in a couple of quarters around maybe some of the restructuring that’s going on etc.?
Michael Roach: Well, clearly our expectation in acquiring a company like Stanley that the combination is too with the positive to our growth curve here and again, I don’t have any more than six weeks experience on that, but when I look at the bookings, as I mentioned the bookings were north of a 135% as a combined entity. So that bodes well in terms of future organic growth in that area. So our expectation is that – at many levels we see Stanley as the net positive here.
Michael Abramsky: How could that bookings trend be – could you help us place that in context relative to prior quarter’s bookings trend for Stanley?
Michael Roach: Well again, I don’t have handy. There are bookings by quarter in the past but again the reason I mentioned that – if you look at the amount of change and what was going on in the quarter in terms of integrating in the firm, realizing the synergies and still calling on clients, I think it’s a very significant accomplishment in that six-week period, so it bodes well for the future.
Michael Abramsky: Okay and maybe you could just shift to Canada for a minute. So, you’ve talked about – there is at least it sounds like you’ve made an important management transition and you’re hopeful to accelerate some of the progresses or speed in which some of the projects are moving forward. Should we expect a recovery to zero percent organic growth in Canada or – next couple of quarters or do you think things may remain slightly negative as you go through this management transition.
Michael Roach: No, I’m not expecting to be negative. In fact I expect it to be a positive in the sense that I have the President of the Canadian operations located in Toronto, which is a very, very large market and the amount of time that Doug can spend on focusing on the growth opportunities in Canada is obviously greater than I could give the multifaceted aspects of being CEO and also President of the Canadian operations. So I think from that perspective I think it’s a net positive and the other thing I would draw to your attention, pulling the infrastructure business together on a global basis also will increase our ability to bid and win more business in that area as well and the net impact of those two because the infrastructure business also impacts Canada obviously as well as the other parts of the globe. So I think those operational changes obviously is part of our plan for fiscal 2011 should assist us in meeting our growth objectives.
Operator: Thank you. I do apologize, Mr. Eyal. Please go ahead your line is now open Mr. Eyal Ofir.
Eyal Ofir: Okay thanks. Hi guys.
Michael Roach: Hi.
Eyal Ofir: Congrats on a good quarter.
Michael Roach: Thank you sir.
Eyal Ofir: Question for you from a strategic standpoint long term, now that you have integrated Stanley and you’re almost there from an overall standpoint you have a pretty good presence in the public domain. Do you see yourselves kind of getting more aggressive in the national markets may be getting more into Europe or other markets globally specifically targeting that segment?
Michael Roach: Yes, it’s an excellent question and you’re kind of spot on there. I think with about 42% of our revenue coming from government, obviously our priority and preference would be to do an accretive acquisition in the commercial side. And again something that would have the attributes of a good cultural mix something that has some IP based components, more product solution baseline that is sticky, something that obviously would be in the United States or Western Europe and obviously, we always like recurring revenue. So if put my wish list together it will include all of the above. So we continue to work a funnel that includes companies and opportunities with those attributes and as I mentioned in my closing remarks, we do have the financial fire power to execute another deal. And on an operational perspective we also feel that we’re quite capable of doing that. The Stanley acquisition was focused on a single area in a single organization in our company called CGI Federal. It’s now been integrated and the teams are working as one and it really didn’t impact any other areas of the company and therefore from an integrational risk or a cultural risk or a financial risk, we don’t see any at this point and feel quite open and capable of doing another acquisition that would be in the commercial side of the business.
Eyal Ofir: Okay, and do you have any thoughts around emerging markets? Is there a specific sort of a point of in time when you see yourselves actually going into India or some of the countries in Latin America?
Michael Roach: Well, I would say that strategically I want to reinforce we do follow our clients. So we have operations in Singapore. Example, we don’t talk a lot about them but we do follow our clients and make sure we’re able to serve our clients anywhere in the globe, and we’ll continue to do that. In some cases we do sell our IP into South America and into Asia but through third parties. So again, we do see those as emerging markets but again our strategy, which is, as you know, is very disciplined. We tend to ensure that the maximum focus is on the US, Western Europe and Canada that represents 75% or 80% of the world’s IT spend. But having said that, we do follow our clients and we will ensure that if our client needs us in a geographic location where we’re not that we’ll ensure that we’re there or that we can serve them in those areas.
Eyal Ofir: Okay great, thanks for the time.
Michael Roach: Thank you sir.
David Anderson: That’s a lot Eyal and thank you everyone for joining us this morning. Hope to see you back here for our first quarter results on January 26th. Thank you, have a nice day.
Operator: Thank you. The conference has now ended, please disconnect your lines. Thank you for your participation. 